Operator: Ladies and gentlemen, thank you for standing by. Welcome to the HyreCar 2020 fourth quarter and full year 2020 earnings conference call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. . Please be advised that today's conference may be recorded. . I would now like hand this conference over to your speaker host, Joe Furnari. Please go ahead, sir.
Joe Furnari: Thank you operator and welcome everyone to our 2020 fourth quarter and full year earnings conference call. Before we get started, I would like to take this opportunity to remind you that during this call, we will be making forward-looking statements within the meaning of Federal Securities Laws regarding HyreCar Inc. Forward-looking statements include, but are not limited to, statements that express the company's intentions, beliefs, expectations, strategies, predictions or any other statements relating to its future earnings, activities, events or conditions.
Scott Brogi: Thanks Joe. 2020, was a difficult year in so many ways but by expanding our platform to rideshare plus delivery the HyreCar team was still able to meet the original goal we had set going into 2020 of exceeding one million rental days in the year. Rental days increased 63% to approximately 1.014 million rental days for the 12 months ending December 31, 2020, from 621,000 for the prior 12 months ending December 31, 2019. For the three month period ending December 31, 2020, rental days increased by 41% to 277,000 rental days from 197,000 rental days in the prior year's fourth quarter and sequentially were flat from the third quarter ending September 30, 2020 as the impact of the second wave of COVID was felt through the ridesharing segment of the business in several of our key geographies through the early winter. Net revenue grew 59% to $25.2 million for the 12 months ending December 31, 2020, from $15.9 million for the prior 12 months ending December 31, 2019. Fourth quarter revenues grew 46% to a quarterly record $7 million for the three months ending December 31, 2020, from $4.8 million for the prior year's fourth quarter and sequentially represents a 3% increase from $6.8 million in the third quarter ending September 30, 2020. Cost of sales increased for the year ended December 31, 2020, to $16.9 million from $9.8 million the prior year as insurance expenses continue to account for the majority of cost of goods sold primarily due to some seasonal shifts in insurance costs to support higher levels of car supply through the winter quarter. We expect new partnerships with the best insurers, brokers and administrators to continue to enhance our program and make HyreCar the platform of choice for domestic vehicle operators. As a result, gross profit for the 12 months ending December 31, 2020, was $8.3 million increasing 38% from $6 million in the year ago period ending December 31, 2019. Gross profit margin was 33% for the 12 months ending December 31, 2020, down from 38% in the year ago period ending December 31, 2019, as we accelerated insurance claims to shrink processing time and get more cars on the platform sooner. We continue to expect our gross profit margin to increase of 45% to 50% on a going forward basis, as we improve insurance processes and increase other revenue from high margin subscription and referral income.
Joe Furnari: Thanks Scott. To summarize, COVID has created an expanded opportunity for our platform and HyreCar's performance was a validation that our business model can capitalize new opportunities as they appear. The only gating factor to our growth is car supply and we are executing on this goal to secure fleet partners at scale in real-time. TAMs on delivery platforms are now just as big as the TAMs on rideshare and this represents an expansion of our platform. Bottom line, we have shown that HyreCar is nimble enough for any business environment and we remain confident that as the driver confidence starts to return and more businesses reopen, so too will rideshare. The combination of delivery and rideshare demand has created merging tailwinds that are driving our business forward. With that, operator, let us move to Q&A.
Operator: And our first question is coming from the line of Mike Grondahl with Northland Securities. Your line is open.
Mike Grondahl: Hi. Yes. Thanks guys. Hi Joe, it sounds like 4Q had 3,000 cars, March is going to average about 3,500. But it sounds like you have got another chunk of cars on late March. So April is going to be about 4,000. So you have got that first thousand on, how do you think about 2Q, 3Q? Kind of what comes next? Because that's a hefty pace of cars, practically 1,000 in a quarter?
Joe Furnari: Yes. I agree, Mike. And thanks for the question. Good to hear from you. Yes. I think that what we said in the script was that, we are going to really see a steady run rate and an increase in there as they work out the kinks in a lot of the reconditioning pipeline. And so we are in process of adding a tremendous amount of cars. I am not really comfortable giving specific numbers there but a steady run rate is what we are on and what we are seeing. I think it gets complicated a little bit with some of the supply chain logistics that are going on in the auto industry right now. But it's a relatively small amount of cars compared to the amount of cars that sell at auction and that are going to be coming out available in the used car market. So I see a healthy run rate there and I like where we are trending right now. I am happy that we were able to really hit the numbers that we had kind of thought we were going to hit in Q1, at the end of Q1. So yes, it's starting to look good and it's starting to work out really well.
Mike Grondahl: Great. Secondly, it sounds like delivery is robust and that sort of TAM or opportunity you are leaning into quite a bit. How would you describe rideshare? Is rideshare at a third of the levels pre-COVID? And do you see that as incremental cars going forward? Or how do you scope rideshare for us?
Joe Furnari: Yes. So right now, rideshare is about 50% of what it was last year in Q4. But we are seeing that they are having their biggest weeks ever post-COVID. And so typically, we have trended with them. So as they have grown, we have grown. And you can kind of see that in the ADR numbers that we reported as well. As more states start to reopen, I think you are going to see more and more ridesharing coming back. The number one use case is the daily commute for rideshare. Number two is bars and restaurants. And number three is probably airport rides. And all of that stuff looks like it's coming back strong in the next couple of quarters. So it's providing some real tailwinds, I think, for us as delivery remains strong as well. So those dual tailwinds, I think, really push us into the second half of the year.
Mike Grondahl: Got it. And last question. Are you talking to incremental new fleet managers? Is that broadening out a little bit your supply of cars? Or how would you describe that?
Joe Furnari: So we are really focused on commercial right now, on what we call commercial supply versus the peer-to-peer supply. AmeriDrive and the relationship with a large fleet provider as well as the retail outlets, we are going to look to really leverage that piece of it. But then right behind that, there is two or three other larger specialty fleet operators that are coming onto the platform that are adding, that want this to expand. So we see that as kind like the next phase and it's additive, right, to our ADR counts. So yes, there are more fleet operators that we are going to be announcing and leaning into as we really start to ramp up.
Mike Grondahl: Got it. Great. Thank you.
Operator: And our next question is coming from the line of Tom White with D.A. Davidson. Your line is open.
Tom White: Great. Thanks guys for taking my questions. Just a couple on supply. Joe, I was hoping you could just maybe provide a bit more color on your comments about, I think you said that dealer sourced inventory was looking maybe a little tight. And I guess I maybe would have thought that dealers, at least in 2021, they would be sort of more flush with new vehicles certainly than they probably were last year, just given what happened to OEM production rates at the height of the pandemic. So maybe just kind of help us understand like what's sort of the optimal set up for you guys when it comes to dealership supply? Is it when dealers are kind of flush with new vehicles? Is it more, should we sort of be monitoring like used vehicle supply at dealerships to get a sense of how the supply may come to you? And then just to clarify the question, do your big institutional supply partners, are those agreements, are you guaranteed a certain amount supply? Or is it sort of at the will of the partner the extent to which they are participating in your marketplace?
Joe Furnari: Hi. Good questions, Tom. So from a new car perspective and the dealership's perspective, as manufacturing ramps up at the OEMs, you are going to see a lot of those cars starting to flow onto dealer lots. When those cars start flowing on dealer lots, you start to see a lot more trade-ins coming. And that should put downward pressure on the secondary markets for used cars. Right now, markets for used cars are at 2,000 to 3,000, 4,000 in some cases above adjusted MMR. And what that means is that there is a lot less used cars in the market for those dealerships to put cars on our platforms. So the way we were combating that right now is through specialty fleets. Specialty fleet being AmeriDrive and a few others that already have the cars plated and tagged. Historically, there has always been four channels of vehicle supply. First channel has always been the peer-to-peer aspect of it which is shrinking over time. And then you have the dealerships. You have specialty fleet. And you have rental cars. We are seeing a major growth right now on the platform from specialty fleet. And then, in terms of the question about the guarantees we have these partnerships in place, specifically with AmeriDrive, where they have financing involved there. And that financing is mandated to purchase vehicles and put them on the HyreCar site. So you are going to start to see, so from a guarantee perspective, they have committed to adding a certain amount of cars. And we are going to start to see those cars flowing on. We have already started to see them make a meaningful impact in Q1 with the ADR growth. And we expect that to steadily ramp and really pick up speed in the second half as manufacturers start to add new cars or start to roll off the assembly line. As those new cars start to roll off assembly line they hit the dealer floors and then the normalization of used cars starts to come in to play. So it's all connected at this point. But it feels like it's starting to normalize and starting to see more and more cars coming on from specialty fleet. So that's what we are seeing now.
Tom White: Okay. Thanks for that. That's helpful. Maybe just a quick follow-up on the fleet, operator and rental car supply channel for you guys. Should do you guys expect that once leisure travel demand kind of rebounds and presumably demand for rental cars from people who are on trips and whatnot picks up, is that going to have an impact on kind of your ability to access supply from that channel? I mean it sounds like you are going to be adding additional partners. So presumably that channel grows. But I am just curious whether there might be more demand from leisure travel kind of picking up when it comes to rental car vehicles or maybe some of the specialty fleet too?
Joe Furnari: Yes. Well, certainly, like it's something that we have been grappling with for the last four or five years which is, there is a tremendous amount of demand right now from drivers, both from the delivery side and the rideshare side. It's the ability to source fleet in to those and it has to be a reliable fleet. And that's why I think this AmeriDrive deal that we announced in January is so important is because it provides a dedicated fleet to the platform. And so I think in terms of going forward, as the economy starts to reopen, states start to reopen, you see kind of like a natural course of business where fleet managers are adding cars, you have individuals adding cars, you have many fleet operators adding cars. And so the way I think about it is, that's normal course. You are going to continue to see those cars flowing on the platform but then you also have these bigger deals like AmeriDrive where it's incremental addition of vehicles. And what we see is when those cars come on to the platform, did we rent them, right, because that's the amount of demand that we have. And so that incremental add is where we see the growth from the larger partners. So as AmeriDrive ramps up and steady state through the end of the year as we get more specialty fleet that already have the fleets sitting there and they want to run utilization, that's how we are going to grow. I think what I am hearing from these specialty fleet managers is they like the utilization of our platform that our platform drives. It's a longer duration of rental versus the leisure. That's typically like two or three days. Right now, we are running at about 18 days. And that's been pretty steady throughout the year in terms of rental duration. And so what that means is less overhead for those fleet operators to have to intake that car, recondition and put it back on to the site. So we are seeing a lot of basically fleet managers switching over to our platform to rent those cars. And so I don't see that slowing down as the economy opens. I see it only picking up at this point.
Tom White: Okay. Great. Thanks a lot, Joe.
Joe Furnari: Thanks Tom.
Operator: And our next question is coming from the line of Mark Argento with Lake Street Capital. Your line is open.
Mark Argento: Hi Joe. Hi Scott. I just wanted to dig in a little bit on gross profit. I know, Scott, you mentioned you anticipate getting back at the 45% to 50% level. That's something you think happens relatively imminently? Or what's kind of the ramp to that level?
Scott Brogi: Yes. I think we will grow into that over the next couple of quarters. I think it's going to be dependent on two primary things. We talked a little bit about the velocity of claims payments in late 2020. And again with car supply tight, a lot of that was to get cars back on the platform as quickly as possible, right, so that we can continue to drive those rental days. So you have got that piece happening. And then I think there's been a lot going on around some of the new other revenue sources that we have. And that's both subscription revenue as well as referral income. And we just recently announced the new TrueCar relationship. So we think the combination of returning to more normal levels on the claim side having brought that now kind of completely current as well as starting to have some of those other revenue sources kicking in, you have got kind of two levers there to really start to drive GP on a going forward basis.
Joe Furnari: So I think we have got a good chance of getting there over the next couple quarters.
Mark Argento: Do you see the claims issues, is that kind of more one-time in nature? Or is that something that you get to see kind of like pop-up from time-to-time? Or is that something you can make more of a spread over the quarters on a more normalized basis?
Joe Furnari: Yes. I mean it's a really good question, Mark. I think what we have been seeing is, we put a lot of effort into the front end of the process here in 2021. So I don't think we have formally announced it but we did have a selection process for a new third-party administrator so that we could bring both the PD claims and the liability claims together so that you are having a really efficient determination of responsibility. And then again, dealing with those claims quickly so that you can get those cars back on the platform. I know Brian Allan's been nudging us both repeatedly over the last couple weeks as he gets texts from car suppliers around the country who are really excited about that new TPA process that we put in place. So I think there was a little bit of catch-up that we needed to do to really shrink that turnaround cycle. And we have done that dramatically. And then now on the going forward basis with the improvements in the TPA, I think we are going to see an actual reduction in some of those expenses going forward.
Mark Argento: Got it. And then just getting back to the AmeriDrive relationship. So it sounds like maybe a little bit of a slower start due to some weather but seems like you got it coming along here pretty good. In terms of the next year, is there any reason to believe you guys couldn't get to that 5,000 to 6,000 car bogey 12 months out? Or what's your thinking longer term in terms of kind of fully deployed?
Joe Furnari: Yes. The initial commitment was 6,000 cars. So we are driving towards that. And I am driving everybody towards that right now internally and externally. We have weekly meetings with AmeriDrive. I am talking to Carlos over there daily and Agustin, his operator there. They are leveraging these national fleet suppliers and the national retail chain as well to really ramp up. We mentioned it, they are in five stores now but this national retail chain has over 900 stores in the U.S. And so the plan for them is to leverage that footprint and really ramp. And so that's what we are doing. This is the year of execution. And I think the results over this first quarter show that that we can execute at a really aggressive pace here. So I am really happy with that. It looks like we have got some really good news to announce in the next couple of quarters. So I am excited.
Mark Argento: Great. Thanks guys. Good luck.
Joe Furnari: Thanks Mark.
Scott Brogi: Thanks Mark.
Operator: Our next question is coming from the line of Jack Vander Aarde with Maxim Group. Your line is open.
Jack Vander Aarde: Great. Hi Joe. Hi Scott. Thanks for taking my questions. I had mostly financial related questions. And a lot of my question have been asked already. But I will start with more of a qualitative question for Joe. Joe, on the new Earn-to-Own offering, helping provide HyreCar drivers with the financing options to eventually I guess I own the vehicle they are renting sounds like a great idea. Just for, I guess, clarity, it sounds like you mentioned that you already launched this officially? Or have you launched like a trial or beta testing period? Or is it out, the real deal is out, it's active and official now?
Joe Furnari: It is active and official. And we are actively marketing to drivers right now. The thing I liked about that program is that it's a three to four months financing program or Earn-to-Own program where we are giving this driver a vehicle. We are giving them a financing option and saying and he also has a job, right, because we know he's an Uber or Lyft driver or a delivery driver. So from a risk standpoint, from the financing entity, it's a great risk. It's a great customer to have. And the duration of that rental is going to be around three or four months. And so that quintuples our lifetime value of a customer. And then at the end, that driver has a car and I think it's a win-win for everybody in that situation. So I am excited about that. Relatively small, I think we have three or four participating dealers, one financing entity. But I see that really growing fast throughout the rest of the year along with some of these other ancillary revenue opportunities that we are chasing down right now including subscription and TrueCar and Earn-to-Own and some of the insurance affiliates programs that we have going. So between those four or five initiatives, I see that kind of really adding to GP in the future.
Jack Vander Aarde: Great. That's helpful. And actually just a follow-up, it's interesting, you said around three to four months kind of rental duration which, yes, it's definitely above, I think, your median in the past around that 23 days or so. So that definitely will increase mix shifts higher your overall utilization levels. So that's great. And just speaking of utilization, how did those track during the fourth quarter and throughout the first quarter so far? Maybe Scott has answers to that as well.
Joe Furnari: Sorry, Jack. We missed that last question. What was that?
Jack Vander Aarde: I am sorry. So for utilization overall for HyreCar, how did utilization overall track during the fourth quarter? And how are they trending throughout the first quarter?
Joe Furnari: So from a utilization standpoint, pre-COVID, we are trending above 85% to post-COVID dropped down, we are in the low-60s, high-50s. And it's steadily trended up to the point now where I think we are like around 86% or so which seems to be, from a utilization standpoint seems to be kind of like where the overall platform kind of normalizes or levels off. I mean you look at partners like AmeriDrive and some of the others that we pin to the top of the search results or kind of prioritize and narrow those for the search results, they are running 90%-plus. So that gives you an indication of the amount of demand that we are driving there.
Jack Vander Aarde: Got you. That's helpful. And that's great to hear. And then, Scott, you have already kind of been asked about the gross margin. Maybe I will just quickly shifts then to a GAAP OpEx perspective. I think fourth quarter, it looks like it comes out to be about $6.2 million of total GAAP OpEx. Is this a good base level for us to kind of assume going forward throughout each quarter in 2021? Or do you expect anything to shift around increase just given this new car supply ramp?
Scott Brogi: Yes. So Jack, I think for the full year, we came in sort of cash OpEx right around $20 million, which was kind of in that $4.5 million to $5 million cash OpEx a quarter that we talked about before. We have made some investments particularly on the sort of outsourced sales and support side, leaning in on supporting dealers. We already talked about some of those other incentives. So I think what we are probably looking at is that, I think I mentioned we are probably looking at something more in the range of kind of $5.5 million quarterly number. So instead of $4.5 million to $5 million a quarter on a cash basis, we are probably looking more at a $5.5 million kind of range on a quarterly basis. So ticking up a little bit, we have had some investments on the technology side as well to further automate the platform so that we are in a position to be able to scale faster here in 2021. So I think that's more the range that we think we are looking at. And then if you kind of extend that logic and look at a breakeven point from there, you are still going to be in that range where 4,500 cars should get us to breakeven as we have talked about in the past. So we took the OpEx up a little bit but we think the contribution that's coming from those cars because it's in the right markets, it's still going to get us to breakeven at that kind of a 4,500 daily rental kind of numbers. So anyway, went a little further with the answer but I thought that that might have been where you would end up. So I just wanted to cover it.
Jack Vander Aarde: I am always appreciative of extra color than less. So I appreciate that. Thank you. I will jump back in the queue, guys. Thanks. Best of luck in 2021.
Scott Brogi: All right. Thanks Jack. Take care.
Operator: . Our next question is coming from the line of Josh Goldberg with G2. Your line is open.
Josh Goldberg: Hi Joe and Scott. How are you doing?
Joe Furnari: Hi Josh.
Scott Brogi: Hi Josh. How are you doing?
Josh Goldberg: Great. So I think it's just really impressive what you have accomplished over the last 12 months. And when you think about kind of the biggest issue post-COVID was this car supply. And here you guys have been able to not only increase your car supply but also do it at a point where you have been able to raise capital and be so well capitalized to be able to market into this additional car supply. And I think some of the questions that people are asking is, is it true, is it possible? Did you guys actually raised these kind of cars supplied during this time? And I think you've made that clear. But I think that what investors are looking forward now is just some sort of guidance on how fast these cars will ramp? I mean obviously the fact that you are increasing your OpEx and that you have got confidence from your partners they are going to try to get to 6,000 cars at the end of the year, it seems like the analysts ramp from the first to the second and then really specifically to the third and fourth quarter. It seems like the right way to go. And I am just curious if you can either, number one, talk about the time and effort to kind of get them up to speed now in terms of AmeriDrive and how it's starting to ramp in the initial kind of feeling in terms of how it's responding? And then really more importantly, to Mike Grondahl's questions about the ramp through the back half of the year, if maybe you could talk a bit more about that? And then I have a follow up.
Joe Furnari: Yes. Maybe a couple of different angles on that piece. We are starting to see green shoots with all of the state's opening up, right. So general trends are that ride sharing is going to continue to really ramp. And that provides a tailwind for us. And so as I think about it, I think I see the demand kind of coming in late summer, fall and really start to ramp through the year on that side. And so the way we kind of think about is, those steady state, maybe the incremental adds for this next quarter, I mean we are already done with Q1, it's crazy. But now we go into Q2 steady state and then really ramp in the back half of the year because I think not only do you have the green shoots, but the second kind of angle is to look at it from the used car angle which is, we see probably used cars starting to normalize in the third quarter and fourth quarter. And as that starts to happen, it's a lot easier for not only AmeriDrive but also all of our other partners that are in the market buying used cars to add to its scale and really start to add into the market and add cars on to our marketplace. So those kind of dual tailwinds --
Josh Goldberg: So the confidence you have in terms of this 2021 ramp is you feel better now than you probably did even a few weeks ago before the AmeriDrive ramping?
Joe Furnari: Yes. There's always some uncertainty when we are rolling out these big partnerships, right. But I think the fact that they were able to acquire these cars and run through the pipeline, it's always like the first 100 cars are tougher than the next 900 cars. And so I think we were able to figure out all those logistics. We had people in market, all of our account managers with all hands on deck really ramping these guys up into kind of the second half of March. And so that's where -- I am excited that we were able to do that. I am really starting to see that ramp and going from there.
Josh Goldberg: Okay. Great. And the second question for Scott and really I think you guys did a really good job on the presentation, the press release talked about different highlights that you have had. You did not report the weekly rental days in the press release. And I am just curious if that’s your plan going forward. On the press release, though you did add something talking about new drivers on the platform, that was up 29%. Can you just give us some clarity on what that metric is? Why did you decide to include it now going forward? And if you plan on not having the weekly or monthly days anymore? Thanks again.
Scott Brogi: Sure. Yes. Thanks Josh. And maybe I will start with the weekly piece and then Joe can hit on the new driver piece a little bit. But the weekly granularity was really critical a year ago, early in COVID, right, as we saw that first fall in March of 2020 and then started to rebound in April, right, because we wanted to provide that kind of visibility that we weren't down 80% or 90% like other people in the sector were. So we felt that was really important. But I think we are now getting back into a more regular cadence and we would we would typically look to share that information on a monthly or quarterly basis. So that's really the thinking now that we are stepping into wrapping up 2020 and heading into a new fiscal year that we would be more on a kind of monthly or quarterly cadence moving forward. And then I know that the number you were talking about -- sure.
Josh Goldberg: Yes. Just one thing on that. I just wanted to make sure I heard that right in terms of in your script. Even though you are exiting at 3,500 cars, you didn't have the entire quarter at 3,500 cars. I just wanted to make sure I understood that. And then you said you are going to exit April at 4,000 cars. So it probably means that your second quarter is going to average above 4,000 cars. I just wanted to make sure I have that right that the first will be below 3,500 cars and very possibly the second quarter will be above 4,000?
Scott Brogi: Yes. You got it.
Josh Goldberg: Okay. Because as you explained it the first time, I don't think it was clear that way.
Scott Brogi: Right. Yes. And so when we say an average of 3,500 car run rate in March, a good chunk of those cars are coming on in the second half of March. And so you are not going to see all of it in terms of the run rate for Q1. But you are definitely seeing the increase in those cars as we kind of opened up the funnel there once we figured out all the logistics. So that that's how we think about the cars going forward. And then in terms of the new drivers on the platform, the reason is specifically, well, we have given those new driver metrics in the past. But the reason I wanted to highlight it up above is because a 29% increase compared to a 60% increase or so in revenue, it tells you that we are doing a better job of targeting and marketing to leads that are going to remain sticky on our platform and have higher kind of basket sizes there for rentals and rental days. So that's one point of why I am highlighting that because I think marketing has done a really good job of kind of using the magic of Adwords and Facebook to drive new sticky customers. And then from a kind of a risk underwriting perspective, I think we are doing a better job at bringing in customers that are going to be good drivers. They are not going to drive up expensive physical damage bills, et cetera. And so those two and that number of 29% growth really points to the fact that all the hard work is really exemplary of all the hard work that the marketing and technology and product and operations teams are doing there. So that's why we highlight that number.
Josh Goldberg: Okay. It sounds like it was a bigger number than it was the rest of the year.
Scott Brogi: Right. It really ramped into the second half, right. And it continued to ramp in the first quarter.
Josh Goldberg: Okay. Great. Thank you guys. Congratulations.
Scott Brogi: Thanks Josh.
Joe Furnari: Thank you Josh.
Operator: And I am showing no further questions at this time. I would now like to turn the call back over to Mr. Joe Furnari for closing remarks.
Joe Furnari: Well, thank you everyone for joining us. And I am looking forward to future calls as we continue to execute on the plan through 2021 and we put 2020 behind us for good, which I think a lot of people are happy about right now. So I appreciate it, everybody. And thank you for being on and we will talk to you soon.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.